Operator: Good day and thank you for standing by. Welcome to the PAA and PAGP Second Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session.  Without a further ado, I would now like to hand the conference over to your speaker today, Mr. Roy Lamoreaux. Sir, the floor is yours.
Roy Lamoreaux: Thank you, Kara. Good afternoon and welcome to Plains All American's second quarter 2021 earnings call. Today's slide presentation is posted on the Investor Relations website under the News and Events section at plainsallamerican.com, where audio replay will also be available following today's call. Important disclosures regarding forward-looking statements and non-GAAP financial measures are provided on slide two. A condensed consolidating balance sheet for PAGP and other reference materials are located in the appendix. Willie Chiang, Chairman and CEO; and Al Swanson, Executive Vice President and Chief Financial Officer will host our call. Other members of team will be available for the Q&A including Harry Pefanis, President; Chris Chandler, Executive Vice President and Chief Operating Officer; Jeremy Goebel, Executive Vice President and Chief Commercial Officer; and Chris Herbold, Senior Vice President and Chief Accounting Officer. Before turning the call over to Willie, I'll not that we will focus today's discussion on second quarter results and full year guidance. With respect to the Permian Basin joint venture that we intend to form with Oryx Midstream given to the transaction is not expected to close until the fourth quarter, we do not plan to share any additional information beyond what was provided on our July 13th conference call. With that, I will now turn the call over to Willie.
Willie Chiang: Thank you, Roy and thanks to everyone for joining our call. This afternoon, we reported better than expected second quarter adjusted EBITDA of $579 million and we increased our full year guidance by $25 million to plus or minus $2.175 billion. Our second quarter results benefited from certain timing-related items, which, as I will discuss are incorporated within our full year guidance. A summary of our financial highlights is provided on slide three. In previous calls, we have discussed reaching a positive inflection point in our business. We've been advancing a number of initiatives, aimed to maximize free cash flow with the near-term benefit of accelerating debt reduction, while returning capital to our equity holders. These initiatives take time to develop and materialize and I'm very pleased with the progress we have made with several initiatives coming to fruition since our first quarter call in May. A recap is provided on slide four. On asset sales, yesterday, we closed the $850 million sale of our natural gas storage business, which was roughly two months ahead of schedule. We continue to progress additional opportunities and expect to achieve $920 million in total asset sales in 2021, well exceeding our initial target of $750 million. Regarding portfolio optimization, we announced the execution of a definitive agreement to form the strategic Plains-Oryx joint venture through a cash transaction. This debt-free entity will align directly with our optimization strategies. As for our capital program, we have further reduced our 2021 investment capital by $50 million to plus or minus $325 million or 25% below our February guidance, with the majority of the reduction related to the cancellation of the Byhalia Connection Project. And importantly, on sustainability, last week, we published our 2020 sustainability report, greatly increasing our quantitative disclosures, including our Scope 1 and Scope 2 greenhouse gas emissions data, which reflect a reduction over each of the last three years and screens favorably relative to peers on overall emissions. The full report is posted on our website, highlights from which are included within today's presentation. Regarding our macro view, our fundamental outlook remains positive and we expect global crude oil supply and demand to continue to rebalance over the next several quarters. While recent OPEC+ actions have largely been consistent with our expectations, we continue to monitor potential near-term headwinds to global demand recovery. As commodity price signals have increased, producer activity in the Permian ramped early in the year and has stabilized in recent months. We expect growth activity to resume as supply and demand balance further improves, which we expect to be mid-2022. We believe Plains is well-positioned for a multi-year period of Permian growth with significant operating leverage and assets underpinned by high quality long-term cash flow. Further reinforcing this will be the completion of our recently announced Permian Basin JV with Oryx, our Wink to Webster entering full-service later this year, as well as the completion of projects outside of the Permian, such as the Capline reversal. As a collective result of this progress, we have further increased our 2021 estimated free cash flow after distributions to plus or minus $1.35 billion or $450 million excluding proceeds from asset sales. As is illustrated on slide five, we plan to continue allocating our free cash flow in a balanced manner with a near-term focus on debt reduction and allocating a larger percentage over time to equity holders. With that, I'll turn the call over to Al.
Al Swanson: Thanks Willie. An overview of our second quarter results is illustrated on slide six, within the context of our full year guidance and directional estimates for the EBITDA contribution by quarter. Second quarter adjusted EBITDA of $579 million was roughly $110 million, above the high end of the percentage range estimated for the second quarter within our May guidance, which acknowledge the potential for timing shifts across individual quarters. As Willie mentioned and as illustrated on the slide, roughly $70 million of our second quarter adjusted EBITDA was a function of timing benefits, the vast majority of which occurred within our Supply and Logistics segment, which represented gains from our decision to monetize certain contango positions earlier than forecast in addition to earlier than forecast NGL sales. Additionally, roughly $40 million of our second quarter adjusted EBITDA was driven by over-performance. The majority of our over-performance occurred within our Transportation segment and is incorporated within our updated full year guidance. Our performance was driven by stronger throughput across various pipeline systems and hub terminals, plus a degree of OpEx savings. Additional detail on our second quarter fee-based segment results are summarized on slide seven. An overview of our capitalization and liquidity metrics is provided on slide eight. Total debt increased approximately $250 million during the quarter as a result of normal working capital items, although it's still approximately $370 million lower than year-end 2020. As of June 30, long-term debt outstanding was approximately $8.4 billion, which is net of $750 million of senior notes due in June of 2022 and a $200 million term loan associated with our gas storage business, both of which are reclassified as short-term debt as of quarter end. The gas storage term loan was repaid yesterday. While our long-term debt to adjusted EBITDA ratio was 3.5 times at quarter end, it was 3.9 times when including the amounts classified as short-term. This remains above the high end of our target range and reiterates our commitment to further debt reduction. That said, we have made progress towards our deleveraging objectives and are pleased with Moody's recent review for upgrade announcement. Moving to slide nine. As mentioned previously, we have increased our 2021 adjusted EBITDA guidance by $25 million, which reflects a net $50 million increase to our fee-based segments and a $25 million decrease to our S&L segment. Fee-based guidance reflects transportation segment performance to-date as well as a $10 million to $15 million negative impact on the facility segment due to the gas storage sale closing earlier than forecast. S&L guidance includes a $25 million reduction due to changes in market conditions that we expect to result in less favorable crude oil differentials in the back half of the year. Our current guidance does not reflect the Permian Basin JV, appreciating that the transaction is not expected to close until the fourth quarter and will not have a material contribution to our full year results. I would also note that we do not intend to provide our outlook for 2022 until our fourth quarter 2021 earnings call in February. This will allow us time to furnish 2022 guidance with the benefit of timely data following the completion of producer budgeting season and incorporate the anticipated contribution of the Permian Basin JV on a full year basis. Additionally, our updated capital guidance is provided on slide 10, which reflects $100 million year-to-date reduction in 2021 investment capital and our continued expectation for investment capital from 2022 forward to be in the range of $200 million to $300 million annually. Before returning the call to Wille, slide 11 provides a recap of our capital allocation plans for the year, including a summary of equity repurchase activity, we have completed since receiving Board authorization in November. In aggregate, we have repurchased 11.5 million units totaling $103 million, which approximately half of this repurchased in the second quarter. Our near-term capital allocation plans remain consistent with allocating at least 75% of 2021 free cash flow after distributions to debt reduction and the balanced equity repurchases. Our expected total allocation, pace, and timing remains consistent with our original intentions through a balanced approach, as described on slide five. With that, I'll turn the call back to Willie. 
Willie Chiang: Thank you, Al. We continue to execute on our strategy and we've made good progress on our 2021 goals and longer term objectives, which are reflected on slide 12. Our outlook for the business and industry as a whole remains constructive, and we're intently focused on operating excellence while continuing to maximize multi-year free cash flow, optimize our asset portfolio, reduce debt, and return cash to equity holders. A summary of key takeaways from today's call is provided on slide 13. We appreciate your investment in and support of Plains, and we look forward to providing you with additional updates on our continued progress in the coming months. With that, I'll turn the call over to, Roy, who will lead us in Q&A.
Roy Lamoreaux: Thanks Willie. As we enter the Q&A session, please limit yourself to one question and one follow-up question, then return to the queue if you have additional follow-ups. This will allow us to address the top questions for as many participants as practical in our available time this afternoon. Additionally, our Investor Relations team plans to be available throughout the week to address additional questions. Kara, we are now ready to open the call for questions.
Operator: Thank you, sir.  Our first question comes from the line of Shneur Gershuni from UBS. Your line is open.
Shneur Gershuni: Hi good afternoon guys. I guess instead of a strategic question, I was kind of-- I wanted to focus on the guidance that was presented for this year. It's kind of a little bit confusing, but I think I asked this question on the last call. You had a strong first quarter. There was a modest increase in guidance and you had mentioned conservatism at the time. I'm trying to square away if that's kind of what's shaping out here because as I look through it, as you mentioned in your prepared remarks, the second quarter was a strong quarter, $70 million was related to timing, but you did have $40 million of over-performance but -- and you raised your fee-based guidance for the year for about $50 million. Do you only expect a small benefit of that to roll forward into the following two quarters? Just trying to understand the moving pieces here. I get that S&L was revised lower and so forth but just trying to understand if there's an element of conservatism here or how we should think about the guidance as presented.
Willie Chiang: Thanks for the question Shneur. I'll start. This is Willie. I think what we tried to show you on our waterfall chart is moving some S&L earnings because of market conditions from later in the year into the second quarter, both in contango holdings-- contango storage benefits as well as some additional NGL sales that we had in our Canadian business. If you think about the $40 million, what we factored in there is the $40 million is out-performance, but we did also have the asset sales. Our gas storage business was two months earlier. So, when you take the $40 and you subtract the impact of the asset sales happening a little bit sooner, gets you close to that $25 million. And frankly, it's what we expect to be. It's our realistic assessment. Clearly, some of the opportunistic S&L earnings around crude has not been as strong as we expected earlier in the year. So, those are the moving pieces there. I don't know if anyone else wants to add anything.
Jeremy Goebel: No. Willie, I think part of -- just to address the question when we would expect to receive and it is in the same line Shneur, is that why would we drop S&L and increase transportation. I think part of that speaks to what Willie said. So, to back that up, on the U.S. side, tighter U.S. Gulf Coast to Midland differentials, that's definitely opportunities in that corridor, but it's led to more transportation and movements from Midland to Cushing. So, we've seen more movement up basin. So, the S&L impact was offset by transportation. Similar thing in Canada, tighter differentials. The proration along the Enbridge system has been consistent with what we've seen, but differentials have been tighter. That's led to less S&L there but what you've seen is more volume because Canadian producers have more cash flow and so that led to more tariff revenue. So, we've seen out-performance on the tariff side, but less performance on the S&L side, so we view that as a positive trade-off and a natural hedge in our business.
Willie Chiang: Hey, Shneur, one -- that was Jeremy, but one additional point I would make, as in my prepared comments, we talked about the trajectory of Permian production. As I said, we had an increase early in the year, we're actually seeing the stabilization of the production numbers in the Permian. And really until the supply and demand balance gets a little tighter to continue de-inventory on crude, we'll have to see where demand goes and OpEx compliance, but really, the inflection point, we expect to be later into 2022, which also perhaps is a bit of a different view than we had before on guidance for this year.
Shneur Gershuni: If I can not burn my second question, just clarify something you just said there. So, are you basically saying that your exit rate for 2021 is now lower, and you expect that to happen in 2022, or what you thought previously or did I mishear that?
Willie Chiang: Jeremy go ahead.
Jeremy Goebel: This is Jeremy. Just to clarify, the growth we experienced in the first quarter through April took production in the Permian from 4.3% to 4.5%. We had our previous exit rate estimate of 4.4% to 4.5%. We still feel strongly in the exit rate, and we would say it's closer to the 4.5% and potentially slightly higher, but it's been effectively flat across our system and other systems from April to now. And then looking forward, the activity today is basically a forecast for your production six months from now. So, we would expect activity to be fairly constant and yield production to be fairly constant through the year-end. So, it's not a reduction as to where we were. I think that the offset what Willie mentioned was, this is consistent at the end of the year where we thought it was, but the asset sale of P&G is basically, we've received proceeds, but two months earlier, that's close to $15 million that we had to take out of what we would have forecasted for that benefit and guidance.
Shneur Gershuni: Okay, perfect. That makes a lot more sense. And I do think everybody appreciates earning more in fee-based versus S&L. Maybe just for my follow-up question here. Good to see the buybacks that you've been executing on. I imagine with the asset sale complete, you'll probably use about $300 million of the proceeds to sort of immunize the lost EBITDA from a leverage perspective, but post that point, do you basically expect to complete allocating 75% towards buybacks and 75% towards debt as the ratio for the end of this year?
Willie Chiang: Al, you want to take that?
Al Swanson: Yes, Shneur, of the 75% or more that we've indicated to go for debt reduction is clearly the first priority, the up to 25%, it was really a limit, not a target. Your $300 million math is actually very close. So, if you look at it, this year and just took -- take our numbers, is the $1.35 billion of free cash flow after dividends, adjust for the $300 million, you would come up with a total number of potential of up to $250 million. The reality of it is, we bought $50 million already, we don't intend to provide specific timing, pace and value at which we'll complete it, that being a priority, but clearly, the repurchase program and our intent, it's a core piece of what we're looking to do, and we do intend to continue to utilize it. But we don't feel it's appropriate for us to provide specific targets or dollar amounts that we're going to purchase in the second half.
Shneur Gershuni: All right, perfect. Really appreciate the color today guys. Thank you and have a great one.
Willie Chiang: Thanks Shneur.
Operator: Our next question comes from the line of Keith Stanley from Wolfe Research. Your line is open.
Keith Stanley: Hi, good afternoon. First, just wanted to follow-up on the S&L EBITDA guidance for the year. So, of zero and not to make this overly simplistic, but you referenced early monetization of the contango positions and some NGL sales. So, you had some positive margin activities realized for the year. I guess what -- is there something offsetting within the S&L segment or any activities where you're losing money this year, given Winter Storm Yuri or other factors that are just offsetting any gains you had?
Willie Chiang: Jeremy, go ahead.
Jeremy Goebel: Keith, this is Jeremy. I tried to articulate that a bit earlier. Some of the movements between market locations were at tighter differentials than historical periods. So, there's a benefit to transportation offset by some on the S&L side. That's largely it. We had forecasted the contango monetization but instead of doing that rateably throughout the year, spreads got to the point where we chose to monetize that early. So, that was in our initial forecast and the previous forecast, all of those components were the timing of the NGL sales, this is just movement between quarters that we generally have. So, if basis blows out, our guys will opportunistically sell in a given quarter versus store in and sell in the future quarter. So, it's just an acceleration of earnings that were already in the plan for S&L. And that -- because we're talking about $25 million in the context of $2.175 billion. That movement was driven by higher transportation, but lower S&L associated with some of those movements. So, it's still very positive to the entity on the Canadian side and the U.S. side, specifically those movements to Cushing.
Willie Chiang: Hey Keith, this is Willie. A couple of other points. As you recall, in our first quarter earnings, we did talk about frac spreads that were put on late last year, which impacted the Canadian business at a lower level. And also, don't forget, we pay storage fees up in Canada all the way through the year as well. So, it's not just pure capturing upside, it's taken out the storage and having to pay for that across the entire year.
Keith Stanley: Got it. And please let me know if you don't want to touch anything with Oryx, but I was just curious, since I don't think it came up on the call you had between quarters. Any issues to be mindful of or you're thinking about on the regulatory approval front or do you see this as just a very straightforward transaction from an FTC perspective?
Willie Chiang: Keith, probably inappropriate to put any specific comments on it. We have filed, and we're in the process for the FTC. We would expect approval, but have to go through the process.
Keith Stanley: Got it. Thank you.
Willie Chiang: Thanks.
Operator: Our next question comes from the line of Tristan Richardson from Truist Securities. Your line is open.
Tristan Richardson: Hey good evening guys. I really appreciate your comments on the Permian dynamics and that stabilization you talked about but I guess and I know you're not providing guidance for 2022 at this time, but should we think that as that supply/demand balance tightens up or normalizes, as you talked about that mid-2022 timeframe, should we think that if that occurs on that timeline, that transport can meaningfully grow next year?
Willie Chiang: Well, I think the conclusion you should take from that is, one, that's an assumption at this point in time. There's a lot of variables around that but as supply and demand balances a little bit and tightens up, our expectation would be, there would be more -- there'd be growth in the Permian and we'll give you better guidance as we get to February on what we expect the Permian trajectory to be. But the way I would take that, Tristan, is stable until tighter supply and then we'd start seeing increased volumes, which should infer additional transportation volumes.
Jeremy Goebel: Willie, this is Jeremy. I would just say it's not linear like that. You wouldn't imagine that the rigs will wait until, I think, as you see the trend of any line's fare capacity and increasing demand, the rigs will come. So, as Willie said, this is a dynamic supply-demand. It's not they're going to wait until all fare capacity has gone to add activity. I think part of the reason, Al, mentioned on the call that we're going to wait to give guidance till February is we're going to see where the capital allocation is and what that timing will be, so we can give you guys a better estimate of what they'll be. But certainly we have contracts in place, and we have capacity available to capture incremental production as it comes to market, and we're well positioned for that.
Tristan Richardson: Appreciate it. And then, Al, you talked about maybe some OpEx savings versus what you had planned was part of the over-performance versus previous guidance. Is there -- are there initiatives going on there or should we think of some of this as permanent or ratable as we kind of model out just the cost profile next year?
Willie Chiang: Tristan, I'm going to ask Chris Chandler to comment on that. Chris? 
Chris Chandler: Sure. This is Chris Chandler. There are a number of moving parts, Tristan, but we continue to challenge the organization to capture cost savings opportunities, and they continue to deliver. We, of course, had a benefit of Winter Storm Uri in the first quarter, so that's impacted the 1Q, 2Q comparison but we are finding opportunities everywhere we look, and we're capturing those and certainly, we expect to be able to sustain a portion of those going forward. So, we still see opportunities and we're still capturing them.
Tristan Richardson: Appreciate it. Thank you guys very much.
Willie Chiang: Thanks Tristan.
Operator: Our next question comes from the line of Jeremy Tonet of JPMorgan. You may now ask your question.
Jeremy Tonet: Hi, good afternoon.
Willie Chiang: Hi Jeremy.
Jeremy Tonet: Hi. I just wanted to come back to the buyback situation a little bit here, seeing what you might be able to say. Based on our calculations and the methodology that you had laid out before, it seems like the pace of buybacks is a bit slower than what we might have expected year-to-date given the asset sale proceeds. And I was just wondering if you were locked out of the market for periods of time with Oryx and you might have a faster pace going forward just as you're able to do that? Just curious if you can expand a bit more on that.
Willie Chiang: Jeremy, this is Willie. I'll make a comment. I know, Al, can follow-up on it. If you think about the trajectory and the factors that we look at, a lot of it is business outlook. So, when you look at the first part of the year and a question of certainty of being able to execute on some of these, you should expect that some of this would probably not occur earlier in the year because we factor all these things when we think about buybacks. Our intention is to continue to have some buybacks. And again, as Al said, we're not going to be specific on volumes or cadence on what we're going to do but I'd take you back to that slide 11 on the many, many different things that we look at as we evaluate it.
Al Swanson: And I would concur with what Willie said, and again, the 25% -- up to 25%, I do think some folks have interpreted that as a target versus a limit. Again, if you walk through the math, I think Shneur hit it pretty close. This year is up to 25%, I would say the high end would be $250 million, we bought $50 million today. And again, we don't believe it's prudent for us to telegraph specific timing and valuation, et cetera. And P&G closed yesterday, so until transactions close, there's always risk associated with them, so.
Jeremy Tonet: Got it. So, I just want to clarify that. Were you guys locked out or just want to make sure I was understanding that straight.
Al Swanson: What I would tell you is until a specific transaction comes up, there's judgments that you apply. Again, we don't think that that had any meaningful impact on what we've done year-to-date. The fact that we don't have the asset sales proceeds in hand at June 30, probably has more to do with it than anything else.
Jeremy Tonet: Got it, understood. And just a quick second question here. It seems like there's been some robust M&A interest, if not activity, up north of the border there. And was just wondering, given some of those strong markers out there, wondering your thoughts on the Canadian business, it seems like that could be a powerful way to return capital to unit holders here. So, just wondering your latest thoughts on that if divestiture there could make sense.
Willie Chiang: Well, Jeremy, we look at lots of things, but we can't really share any thoughts premature to be sharing any thoughts about anything we might be looking at.
Jeremy Tonet: Got it, I'll leave it there. Thanks.
Willie Chiang: Thank you.
Operator: Our next question comes from the line of Pearce Hammond of Piper Sandler. Please ask your question.
Pearce Hammond: Good afternoon and thanks for taking my question. My first pertains to producer disciplines. We've certainly heard the public E&Ps have been more disciplined on the production front and maybe the privates have been a little less so. So, I'm just curious, are you hearing any change to that consensus view as far as when you interact with producers?
Willie Chiang: This is Willie again. I think we're probably consistent with what you're seeing. The larger public companies have more discipline, some of the smaller ones may not have quite the same amount, but, Jeremy, do you want to comment on that?
Jeremy Goebel: Pearce, I think there's a few categories. It's more nuanced than that even. I think there's a handful, call it, half a dozen private producers that are really taking advantage of the opportunity where there's discipline across the space, and they're getting out in front of it, and they're going to grow production. But by and large, the producer community has been very disciplined. Within the larger producers, they're cautiously optimistic about next year, but we haven't seen any change in the rig count in close to three months. I think it's been 4% growth in the last three months. That's indicating that, hey, we're going to wait and see how this goes. I think there's a general view that the current price may be a little bit synthetic because there is productive capacity to meet demand today, and they don't want to get out in front of that. So, it's a prudent approach. There is some opportunity for under-levered private operators to get out in front of this and capture some margin. They can hedge nice margins and capture returns. So, we are seeing that, but it's more nuanced than all privates and all publics. There's a handful that are getting out in front of it and we certainly have exposure to a number of them, and we appreciate that and like it. But the larger ones are there, and they're ready, and they'll be better capitalized at the end of this because of paying down debt and setting up a long-term durable corporate structure. So, healthy E&Ps are good for us in the long-term.
Pearce Hammond: Great. That's excellent color. Thank you. And then my follow-up, and I apologize if I missed this in the prepared remarks or in the Q&A, but congrats on lowering the investment and maintenance capex for this year by about $65 million or 10%. Just curious what the driver was there.
Willie Chiang: I'm sorry, was -- maintenance capital?
Pearce Hammond: Yes.
Willie Chiang: Chris, why don't you take both of those?
Chris Chandler: Yes, this is Chris Chandler, Pearce. I can take those. Let's start with maintenance capital. The reduction quarter-on-quarter is primarily driven by the cancellation of the Byhalia Connection Project. There's been some smaller reductions and efficiencies captured in other areas, but that's the main piece there. And then on maintenance capital, our full year outlook of $180 million is unchanged from the prior quarter. But we have, over time, due to a number of factors, including asset sales and investment programs and reliability improvements, been able to bring that maintenance capital down to the range that it's in now, which is down quite a bit from where it was a few years ago. So, I hope that helps.
Pearce Hammond: Yes, it does. Thank you very much.
Willie Chiang: Hey, Pearce, this is Willie again. I thank you for acknowledging the progress we've made there. It just reinforces how we're looking at every single dollar. Financial discipline, not only capex, but maintenance capex, operating capex, I mean, that's really been a tremendous focus of the organization is to streamline and be as efficient as we can.
Pearce Hammond: Thank you, Willie.
Willie Chiang: Thank you.
Operator: Our next question comes from the line of Jean Ann Salisbury from Bernstein. Your line is open.
Jean Ann Salisbury: Hi. Does the cancellation of Byhalia have any impact on the optimal Capline reversal? Like could you take more from Patoka or anything like that or it does not work like that?
Willie Chiang: Jeremy?
Jeremy Goebel: Jean, hi, it's Jeremy. So, the project works on its own. It will be largely a heavy-based project from Patoka South. There's incremental capacity available to move. And I think there's some timing and some other open seasons and negotiations between shippers that could free up capacity to Patoka and more capacity of Patoka for heavy on longer-term could be a positive for Capline. I think that's the easiest way to say.
Willie Chiang: And just to be clear, Jean Ann, Capline stands on its own, right? So, that project has enough return to drive itself. The Byhalia Connector impacts less volumes going to Capline in the near term. But as Jeremy pointed out, once that project starts flowing, our expectation is that there should be additional volumes that will be able to get there at some point in time.
Jean Ann Salisbury: That makes sense. And then I know you're not commenting on Oryx, so I'll keep my question, super high level. You have this really helpful slide showing how many downstream connections Oryx shippers would gain. Just really generally, can you give the timeframe that you would expect there to be switching of downstream in the Permian? Is that a near-term thing or is that more medium term as MVCs start to roll off?
Willie Chiang: Jeremy?
Jeremy Goebel: Jean Ann, can you clarify what you mean switching of downstream? I just want to make sure I understand what the question is.
Willie Chiang: Maybe let me take a stab of it. Your question was timing on downstream capability to connect, right, Jean?
Jean Ann Salisbury: Yes, basically, you're obviously adding a ton of potential downstream options to Oryx, and that could be obviously a big synergy for you and I'm just trying to understand if that would be near-term, obviously, assuming that the transaction goes through and everything, or if it's more, everybody has too many MVCs right now. So, it's going to be more like in three or four years that those MVCs start to roll off?
Willie Chiang: Yes. So, what we've done on the JV is we haven't incorporated any of that into our assumption on the JV, right? And the point on the connectivity and flexibility is ultimately, it's going to be a much better mousetrap to be able to serve our producers to be able to get volumes to where they need to get to.
Jean Ann Salisbury: Okay. Thank you.
Willie Chiang: Thanks Jean Ann.
Operator: Our next question comes from the line of Michael Lapides from Goldman Sachs. Your line is open.
Michael Lapides: Hey guys. Just curious, your commentary about end of the year exit rate for Permian production. How are you thinking about the end of the year and the beginning of next year in terms of the battle between Houston and Houston area destinations versus Corpus and where producers or other shippers want to flow barrels?
Willie Chiang: I'll start with that, Michael, this is Willie. What we've always talked about our system being able to have access to multiple markets. There's so much that goes on in market dynamics that it's nice to have the flexibility to go to both. I think it'd be difficult for us to give you exit rates to each market as it sits today because there's just too many variables that are out there.
Michael Lapides: Got it. And do you guys have a view of which you think offers better export opportunities for shippers who want to get their barrels on a boat?
Willie Chiang: Jeremy?
Jeremy Goebel: Michael, this is Jeremy. I think the guys across the street might have a different answer, but I think the public data would indicate that there's over 1.5 million barrels a day leaving the Corpus market, and that's been for a long period of time. So, I think both have pros and cons, a lot of volume gets absorbed in the Houston local market and incremental barrels go across the dock. And so I think over time, you'll see those two markets, you'll see some at St. James, you'll see some at Nederland as well. So, I think depending on where the barrels are located and what the logistics will ultimately pan out as to what the most favorable markets but I think there's a need for all of them to clear because there's multiple logistical constraints across the Gulf Coast, but Corpus seems to be heavily focused on crude oil exports, and Houston has got a lot of different diversity across its exports. And then you'll see a smaller amount in Nederland and St. James. You probably already know this, but the heavier barrels in the medium grade, the U.S. refiners like to run that. So, when you think about exports, the lighter volumes typically will go to the water. So, that also has a factor-- that factors into the decision on where to take the molecules.
Michael Lapides: Understood. Just one last one. When Wink to Webster is fully in service, do you think that dynamic changes much?
Jeremy Goebel: Michael, this is Jeremy. A lot of the shippers on Wink to Webster are current buyers in that market. So, when the barrels start to flow, it's almost like moving your purchasing from Houston to Midland. So, it's almost a swapping of where the barrels move and how they move. And so I don't see it changing a ton. There could be some incremental benefit to the Houston market from an export. But usually, in this case, in a way the TNDs are structured over time, it's more to meet domestic refining demand as opposed to incremental exports.
Michael Lapides: Got it. Thank you guys.
Operator: Our last question comes from the line of Sunil Sibal from Seaport Global Securities. Your line is open.
Sunil Sibal: Yes hi. Good afternoon guys and thanks for taking my question. So, just a couple of clarifications. Starting on the guidance on the Transport segment. So, you did $433 million in Q2 in EBITDA in that segment. And your guidance full year is implying a fairly significant downtick from that number. Is it because of some MVCs that you've got in Q2 or any cost items, et cetera, which are moving that number in the second half?
Willie Chiang: Can you repeat the question, please?
Sunil Sibal: So, when I look at the transportation segment, full year guidance of $165 million, and you already did close to $810 million in the first half and then specifically in the second quarter, you did $433 million. So, it seems like your guidance is suggesting that there will be a downtick in that segment in the second half from the Q2 numbers. So, I was just curious, is that a function of any MVCs that you got in Q2 in the Transport segment or any other factors?
Willie Chiang: It's a combination of some deferral of the benefit from Q1 on the cost side, where we captured on the Transportation side, and it also has to do with MVCs and timing of payments and recognition of the EBITDA.
Sunil Sibal: Okay. Then on the facilities segment, the full year guidance of breakeven. So, clearly, the spreads were challenged in 2021. And it seems like on the NGL side, you had some -- because of the hedging that you undertook, there was a bit of a negative headwind. So, when we think about S&L segment, if the crude differentials stay where they are in 2022 or forward years? How should we think about that segment going forward in terms of contribution?
Willie Chiang: I think you should wait for our guidance in February. That will give you much better clarity on that.
Sunil Sibal: Okay. Got it. Thanks guys. That’s all I had.
Willie Chiang: Thanks Sunil.
Operator: That concludes our Q&A session. I will now turn the call over back to the company for closing remarks.
Willie Chiang: Hey, this is Willie. Thanks for dialing in. We always appreciate your interest and support of Plains and I wish you a nice evening. Thank you very much for dialing in.
Operator: Thank you again for participating. This concludes today's conference call. You may now disconnect.